Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to LivePerson’s Fourth Quarter 2018 Earnings Conference Call. My name is Ian and I will be your conference operator today. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference call over to Mr. Matt Kempler, the company’s Vice President of Investor Relations. Please go ahead, sir.
Matt Kempler: Thanks, very much. This is Matthew Kempler, VP of Planning and Investor Relations. Joining me on the call today is Robert LoCascio, LivePerson’s Founder and CEO; and Chris Greiner, our Chief Financial Officer. Please note that during today’s call, we will make forward-looking statements which are predictions, projections or other statements about future results. These statements are based on our current expectations and assumptions as of today and are subject to risks and uncertainties. Actual results may differ entirely due to various factors, including those described in today’s earnings press release and the comments made during this conference call and in 10-Ks, 10-Qs and other reports we filed from time-to-time with the SEC. We assume no obligation to update any forward-looking statements. Also during this call, we will discuss certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP financial measures is included in today’s earnings press release. Both this press release and supplemental slides, which include highlights of the quarter, are available in the Investor Relations section of LivePerson’s website. With that, I will turn the call over to Rob.
Robert LoCascio: Thanks, Matt. Good evening and thank you for joining LivePerson’s fourth quarter 2018 earnings call. The fourth quarter was an amazing close to what has been an incredible year for LivePerson. Revenue in the quarter was at the high end of the expectations, hitting record $65.7 million and accelerating to 50% year-over-year growth. Equally important contract signing 7 new records and this was against the previous high watermark. It is worth calling out that we saw strength in both enterprise, where we signed several 7-figure contracts and mid-market SMB which generating record demand after we increased our focus on selling conversational commerce pushing to smaller businesses. The fourth quarter was one of those times where everything came stellar reflecting strong momentum in our business. On our last earnings call, I shared the themes that have gone into reaching this point. We are sitting on one of the richest datasets conversational data in the world. Our data is on moat. It is what allows us to drive our AI strategy and power things like Maven, Conversational Builder, and LiveEngage as a whole. Within the past year, the major consumer technology companies, such as Google, Apple, Facebook and WhatsApp had only been conversational commerce and integrated into our platform, opening our reach to billions of consumers and echoing that brand should engage with their customers through messaging. We now have a well established referenceable customer base in key geographies and verticals, who have proven the ROI scale building conversational commerce on our platform. These customers are actively shifting voice volumes to messaging and they are advocating on our behalf. On this call, I want to shift our discussion to our LivePerson who is headed because I firmly believe that these advancements have positioned Conversational Commerce at an inflection point. In the fourth quarter alone, three of the world’s largest and most admired brands in travel, retail and financial services took the lead to Conversational Commerce on LiveEngage. It’s a good indication that the industry is now rapidly moving past early adopters and into the mainstream. We expect that over the next 2 years just about every large brand will determine how they want to participate in Conversational Commerce. This digital adoption rate is going to be big, with far reaching implications to society. Economists are calling the brand and together with AI business, the Fourth Industrial Revolution. Gartner just named Conversational Commerce top trend that impact the future of digital commerce. They projected that by 2022 at least 5% of digital commerce will only be dedicated and initiated by AI. We are leading this transformation when it comes to how brands engage with their consumers and have been making the product and market bets to continue our momentum. Our aim is to be more than just the driving force in the industry. We want to dominate the marketplace and become one of those esteemed technology companies that decide its generation. For us to achieve that goal, we need to have the best product and the right sales capacity to get in front of every companies involved that want to do Conversational Commerce. It’s pretty easy to imagine now that most companies will want to be directly connected to a consumer through Apple Business Chat, WhatsApp, Facebook, SMS over the next few years. 2018 was a year of laying the foundation for this massive change. We are now ready to add the next level investment to accelerate our revenues. One of the areas we want to start ramping is our sales groups. We ended 2018 with approximately 50 quota carrying reps, which is actually down slightly from 2015 before we even launched LiveEngage. We have stretched the capacity of these resources as our pipelines have grown considerably over the past 12 months. We are going to close this gap in 2019 by nearly doubling our sales capacity. And Chris will provide more details, but we would anticipate that this investment will accelerate LivePerson’s momentum and positioning to approach if not achieved 20% growth by the fourth quarter of 2019 and to generate at least 20% growth if not better in 2020. My conviction in these targets comes from two points that have been well established in 2018. First, Conversational Commerce is real and gives substantially very large opportunity. Second, LivePerson is in the leadership position in this market. Let me elaborate a little further. We estimate that Conversational Commerce represented $200 billion total addressable market and we are seeing validation of large TAM manifest itself in several ways. Foremost is in our ARPU trend, which reflects net new revenue as customers adopt messaging and AIs to shift volumes away from phone calls and even the web and apps. For the trailing 12 months ending the fourth quarter, our ARPU for enterprise and mid-market customers set a record increasing by 25% greater than $285,000, another layer of drilldown to provide further clarity. When we look at the same base of customers that have also adopted messaging, our ARPU jumped to $0.5 million. This figure expands into the low 7 figures once the customer has adopted more than one endpoint, like an Apple Business Chat or WhatsApp or SMS. The second validation point is in the pace in which adoption trends accelerated. At the start of 2018, approximately 20% of our enterprise customers’ base had adopted messaging. By the end of 2018, the adoption rate is doubled to over 40%. Demand for AI is burgeoning. At the start of 2018, just over 25% of messaging in conversations involved to automation. By year end, it was greater than 50%. During that same time, monthly AI-based thought interactions five folds. All the success has been driven before even the benefit of Maven, our newly introduced patent pending AI engine, which is custom-built to power, successful outcomes in conversational care and commerce. By arming our field organization with Maven, we expect to achieve our goal of reaching over 100% messaging adoption among our enterprise customers by 2020 with automation as the driving force of those conversations. The third indication of market opportunity comes from examining contract value. In 2017, LivePerson halted the sale of legacy solutions and shifted to only selling LiveEngage. Over the next 2 years, our ARPU for enterprise mid-market increased more than 40% and we added more than $150 million of total contract value during that timeframe. So basically, 24 months ago, we have zero revenue in LiveEngage in messaging and today its $150 million in 2 years. It’s incredibly rapid adoption curve and the testimony to the value proposition and leadership position we have in the market. I would argue that there isn’t another company out there that can quantify as much demand being generated from Conversational Commerce. We had several powerful examples of this net new revenue generation in fourth quarter. The first one highlights how our leadership in Conversational Commerce is opening up the travel vertical as a new opportunity. We are pleased to announce that LivePerson signed a multiyear deal with Delta Air Lines, which Fortune has named the World’s Most Admired Airlines for six straight quarters. We are looking forward to supporting Delta in their work to connect with customers on their channel choice through our new technology. This new brand, along with three other top 10 U.S. airlines joined our customer summit in Dallas last month, a great sign of things to come in travel. Imagine a world where you can make a flight reservation, upgrade seating or reschedule trip after weather delays all through contacting through messaging, on the way to the airport, in the airport, never picking up a phone call, never having to go even to a counter and make that change, that’s what we are talking about. We also had an amazing win with one of the world’s five largest apparel retailers, but started out as a bot-only deployment to one brand quickly transformed into a planned rollout of web messaging that bots across every one of the retailers’ brands. It’s a great example of how LivePerson goes deep and brought within the enterprise by combining the power of both [indiscernible] and AIs in a single platform and delivering a roadmap that fully transforms the way brands communicate with their consumers. Another example is a major win with one of the largest banks in Japan, which marked a new milestone in the Asia-Pacific region. When we are steadily building momentum, this new customer we work along side our partner IBM to deploy messaging in bots to its more than 40 million consumers. Our addressable market also continues to expand in ways we are not proven to consider when we built LiveEngage. One example is a 7-figure when we had with the telco in Europe that will leverage LiveEngage to send personalized bulk outbound SMS and WhatsApp messages to consumers. Unlike traditional outbound messages, there are notifications only. These can be fully enabled for two-way communication. Another telco deployed the largest WhatsApp for business implementation globally by volume, our LiveEngage. After successful pilot, we also signed the expense agreement with Aramark, one of the world’s largest hospitality companies to bring in-seat beverage ordering to several professionals, sports venues and to deploy order ahead capabilities in corporate, healthcare and higher education dining. How about that one? From your seat, you can order a bear, a hotdog, water, you never have to leave your seat right through Apple Business Chat, using a QR code, using Apple Pay, a wonderful, beautiful make-your-life-easy scenario. Finally, we signed a six-figure deal with the leading greeting card provider to enable consumers who is searching for greeting cards using Amazon and Alexa. To summarize, 2018 was an incredible year for LivePerson, characterized by 16% year-over-year increase in our revenue growth rate, record contract signing, multiyear loan revenue attrition and accelerating messaging in AI adoptions. Demand is beginning to surge as the industry enters mainstream adoptions. We have made significant investments over the past few years to position LivePerson with the first mover advantage and product leadership when this shift happens. Now that the moment is here, we need to fully capitalize on these tailwinds by building out our sales capacity to ensure that we can showcase our leadership as each brand prepares to make their purchase decision. This is incredibly exciting time for our company and with each passing quarter I have become increasingly convinced of our ability not only to service, but also lead this potentially massive and transformative industry. I will now hand the call over to Chris who would do a deeper dive on our overall financial outlook. Chris?
Chris Greiner: Thanks, Rob. The momentum he discussed is tangible as evidenced by the 16 point flame in our revenue growth rate year-over-year and is building as illustrated by the continued acceleration of key performance predictors across our business. In early 2018, we recognized the importance of investing ahead. We knew expanding our product leadership through strong partnership with major consumer messaging companies and with innovation in advanced AI capabilities would be a differentiator. We also sought to capitalize by building a demand generation engine, capable of tapping into the rapidly growing market of Conversational Commerce. In short, those investments are paying off. To start, we improved upon our initial 2018 growth outlook of 10% by 4 points, delivering mid-teens growth for the year. Coming back on those results, our total B2B revenue grew 15% in the quarter and 14% for the year. Within B2B, our enterprise business, which has been the focus of our investment, fueled our trajectory, increasing by more than 20% year-over-year. During the fourth quarter, we also began feeding investment in the mid-market SMB organization, which in turn, generated record 4Q contract signing. We expect this part of our business to return to growth now that we have opened up a Conversational Commerce ecosystem for smaller businesses. And our consumer segment continued its trend to four straight double-digit growth quarters, posting a 12% increase for the year. Our ARPU set new highs quarter after quarter in 2018 driven by enterprise and mid-market customers as they replaced more of their voice calls with messaging. This resulted in trailing 12-month average revenue per customer of greater than $285,000 in 4Q, up 25% year-over-year and representing the third straight 20% plus growth quarter. Compelling customer ROIs, high customer satisfaction metrics, rich agent experiences and a stable platform is the recipe for stickiness. To that end, our revenue retention rate for enterprise and mid-market customers exceeded 110% in 2018 on the back of an expanding ARPU combined with multi-year low attrition. Excluding the benefit of up-sells, our revenue renewal rate across our B2B segment was approximately 90% and our enterprise base having even higher revenue middle rate in the mid-90s, which we think is a best-in-class measure. We also saw our enterprise and mid-market customer acquisition engines begin to ramp as we scaled our marketing and channel investments. These investments contributed to a 50% increase in new customer wins in 2018. These wins allowed us to penetrate deeper into target verticals and geographies as illustrated by new relationships for us with five of the largest financial institutions in the world, two of the largest telcos, Delta Airlines, the top five global apparel retailer and one of the leading online travel agencies. We also gained more traction with partners such as IBM and Accenture. In fact, the percentage of wins influenced by partners grew by more than 30% year-over-year in 2018 and accounted for nearly one-third of signed ACV. From a geographic perspective, total U.S. revenue accounted for 61% of sales in the fourth quarter and generated 11% year-over-year growth, the strongest showing of the year driven by 17% growth in North America enterprise. Our total international revenue accounted for 39% of sales and delivered 21% growth, with international enterprise growing at 30% even against toughening compares. Our telco and financial services industry continues to leave growth in the fourth quarter, increasing at double-digit pace. Our largest vertical in 2018 was consumer retail, at 25% of revenue, followed by telcos at 20%, financial services at 19%, auto at 11%, high-tech at 7% and other at 19%. Finally, in terms of profit in the fourth quarter, on a per share basis, GAAP net loss of $0.11, adjusted operating income of $1.4 million and adjusted EBITDA of $0.08 while within or better than our issued guidance ranges. Cash on hand held steady quarter-over-quarter at $66.5 million or approximately $1.06 per share. With these metrics in mind, we believe we have a proven blueprint for investing in the capabilities and the capacity necessary to win the Conversational Commerce market. We hear from our customers how much they value expertise and innovation. And in 2018, we delivered meaningful impact in each of these areas. Let me expand on that. From a technology standpoint, our investments were pointed towards innovation and operational excellence. We recognize that scalability, stability and availability can be a focus not at the expense of innovation, but alongside it. The fruits of our investments can be seen through many lenders. To begin, we hired a world class leadership team with deep AI and data science expertise. We leveraged their leadership to more than triple the number of messaging endpoints integrated on LiveEngage, adding Apple Business Chat, WhatsApp, Google Rich Business Messenger, Google Ad Lingo and Alexa in just 8 months. And this is important to our business model because each endpoint brings new cross-selling opportunities to our expansive customer base. Our added engineering capacity allowed us to launch Maven, our groundbreaking patent pending AI engine, which promises to scale messaging with even more efficiency and maintain, if not extend what we estimate is a 12 to 18 month technology lead. And our continued focus on quality is paying of. That’s illustrated by a 20 point increase in our most recent net promoter score survey. Turning to our go-to-market investments, in 2018, we focused on building market awareness and creating a scalable demand generation engine. To achieve this, we have doubled the number of large scale customer summits across the globe and expanded the ecosystem from which new opportunities can be sourced. This combination had an immediate and substantial impact. Since June 30, 2018, the aggregate contract value of our enterprise pipeline has increased 25%. And while impressive, it doesn’t tell the whole story. Over that same period, the number of Enterprise pipeline opportunities is up approximately 80% driven by strong demand for our accelerated pilot program. These data points echo Rob comment earlier that demand is surging. Thanks to our investments in technology and channel, we have more products to sell, more partners to sell with, more references to support our selling efforts and in industry that is moving into mainstream adoption and ready to make purchase decisions. Combined, the demand in our pipeline is outpacing our sales capacity, which presents a great opportunity as seen on Page 13 of our supplemental earnings deck. To illustrate this, LivePerson had approximately 50 global quota-carrying reps at the end of 2018, which was below the 55 we had in 2015. And as Rob said that was even before we launched the Conversational Commerce. Compared to industry benchmarks, our average sales rep is currently handling 2x to 3x the number of opportunities that would be ideal. This is why we are confident that the time is right to invest in go-to-market capacity so we can go even deeper with our existing customers and have sufficient scale to pursue the enormous green space opportunity in front of us. This is a good opportunity to transition to guidance: focusing first on the specificities and timing of our investment profile and second, on its return and contribution to our ramping growth rate and operating leverage during 2019 and into 2020. First, with respect to investment, our plan is to increase sales capacity by 90% in 2019. In order to maximize in-year productivity, hiring will be heavily weighted towards the first and second quarters and is anticipated to be allocated as follows. We will emphasized quota-carrying reps sales development reps and partner managers. Approximately 80% of the spend will be directed to enterprise and 20% to midmarket and SMB and about one-third of the investment will be in North America and two-thirds internationally. From a program perspective, our marketing calendar suggests that front-end loaded 2019, with about three quarters of the spend on customer summit taking place in the first half of the year. First quarter, in particular, is active with events in Dallas, New York City, Berlin and Barcelona, along with multi-city tours throughout Europe with our technology partners. From an in-year payback standpoint, we expect our new sales reps and customer event activity to produce an initial revenue contribution by the third quarter of 2019, a more meaningful contribution in the fourth quarter and then full contribution by early 2020. More specifically, we are issuing revenue guidance for 2019 in the range of $285 million to $293 million or 14% to 17% year-over-year growth. The linearity of our growth in 2019 is perhaps more important than the full year range itself as it best demonstrates the ramping of investment returns and our exit rates going into 2020. We expect continued mid-teens growth in the first half of 2019 as we build our sales capacity and drive more initial opportunities through low price accelerator packs. As these convert and new sales reps become productive we anticipate an acceleration in the second half towards high-teens to 20% by the fourth quarter. On the back of that momentum, we then expect to generate at least 20% growth for the full year of 2020. From the 2019 profit perspective, our hiring activity will be heavily front-end loaded for both sales capacity and the continued build-out of our global product organization. We expect the vast majority of our hiring in both areas to be complete by the end of the second quarter and anticipate minimal headcount growth in the second half. Likewise, this is planned pacing of our customer events. Our marketing spend in the second half should trend modestly lower than in the first half. With these revenue and investment dynamics in mind, we are guiding to a 2019 adjusted EBITDA range of $10 million to $15 million, which implies the margin of 4% to 5%. The pacing of adjusted EBITDA is expected to be as follows. Given the immediate and consistent hiring quickly and heavy volume of first quarter and second quarter customer summits, we anticipate modest losses in the first half of 2019 with a double-digit margin in the second half as hiring the base, marketing spend is slow then our go-to-market investments begin to drive higher revenue. We expect renewed year-over-year margin expansion in 2020. We look forward to expanding significantly 2020 and the long-term financial model at our upcoming Analyst Day planned for May 8 in New York City. You can refer to our earnings release for additional details on our full year 2019 assumptions. As we wrap up and take your questions, I want to close with a few overarching points of emphasis. First, our disciplined test and learn approach to investing in technology and demand generation in 2018 worked and we executed well on the full year 2018 plan, exceeding even our own expectations. Second, we are applying those learnings as a blueprint for how to fully scale-out our technology, demand generation and sales team. Our emphasis on completing those investments in early 2019 will create an exciting escape velocity for our financial business models and look to the 2020 and beyond. And third, we are committed to capitalizing on our leadership position, continuing to bring exciting innovations, new used cases, rich experiences for our customers and increased value for our shareholders. With that, I hand the call back to the operator to take your questions. Operator?
Operator: [Operator Instructions] Our first question is from the line of Koji Ikeda from Oppenheimer.
Koji Ikeda: Great. Thanks for taking my questions and a great finish to the year. I had a question for either Rob or Chris, on proof-of-concepts we really think proof-of-concepts is a pretty strong indicator of what you are seeing out there. And I guess any sort of commentary on the proof-of-concept trends entering 2019 versus 2018 would be helpful? Thank you.
Robert LoCascio: Hey, Koji. Good to hear you again. Sure. Let me entertain the proof-of-concept with what we introduced as our accelerator packs, I think they are one in the same. As we talked about on prior calls, we began the year I guess we launched our accelerator pilots in late first quarter, hit around 25 opportunities, that grew in the third to 65, we are well over 100 now in the pipeline and we are closing them. And more importantly than just closing them, we are finding that they translate into bigger engagements down the road. So they continue to be a great selling tool to just make it easier to complete a transaction, get the customer to experience the returns on the platform quickly and then work with them down the road on how to adjust it in the scope of our platform to the services that they need. We had a couple wins this quarter that fell into that category.
Koji Ikeda: Great. Thanks for that. And I guess I had a question, Chris, in your commentary you gave the revenue renewal rate was about 90% and enterprise was in the mid 90s. And looking at my model here, I recall back in 2016 you gave a customer renewal rate of 83%. I mean is that pretty much an apples-to-apples comparison to that metric or is this a brand-new metric and something new to think about?
Chris Greiner: Yes, let me – that predates me a bit and Matt has got the gray hair to answer the question here. He doesn’t have the gray hair, but you are right, we are at the new metric by the way. It’s different from our total revenue retention which was 110%, we have previously discussed to be being greater than 100%. So we are quite happy with where that is. And then the revenue renewal rate, also a new metric where we see 90% for the total company and in the mid 90s for enterprise. But Matt, you want to make a comment on I guess pre-LiveEngage?
Matt Kempler: Yes. I think pre-LiveEngage, we were going through the migration and we were trying to just give indications around what customers were moving over to LiveEngage and what we were seeing n the churn as we have forced that into life on the product. Now, we are obviously focused on the revenue build and accelerating growth. And so the metric that we are focused on is what percentage of dollars are we keeping from existing customers and the up-sells where we are driving will be the ones that we are keeping.
Robert LoCascio: Yes, I think – and Koji we mentioned in our prepared remarks, but the net promoter score increase of 20 points in our last survey and the work that our technology teams and our infrastructure teams are doing to just continue to build, not only great innovations but a platform that’s incredibly stable and reliable, that’s probably the best proof point of the renewal rates that we are seeing right now.
Koji Ikeda: Got it, got it. And last one for me if I may. So, mobile percentage interactions on LiveEngage is particularly 54%, I guess any commentary would be helpful on what percentage of that volume is coming from messaging transactions versus web chat transactions and maybe how that grew from 2018 would be really helpful? Thank you.
Chris Greiner: Yes. So at a high level, the growth is being driven primarily by messaging of the web, I think, IVR Deflections, think Apple Business Chat and now WhatsApp. Web messaging though is something that we are increasingly selling into our customer base. We don’t think anybody should be using chat anymore. And so we are looking to be replacing that with web messaging, we are seeing that adoption, but the growth that you are seeing is primarily tied to off the web.
Koji Ikeda: Great. Thank you.
Chris Greiner: Thank you, Koji.
Operator: And our next question is from the line of Richard Baldry from Roth Capital.
Richard Baldry: Thanks. We are about halfway through the first quarter. So, could you talk about how you are doing on the hiring process, which seemed to me the economy is pretty strong, so it might be a bit of a tough environment, what types of backgrounds you are looking at and do you feel pretty good about what you have been able to bring in the first half? Thanks.
Robert LoCascio: Thanks, Rich. Hopefully, the new addition is doing well to the family. We are having really nice progress actually. We are looking at 3,500 candidates a week. So we couldn’t be more pleased with how our internal recruiting teams are doing. We went to lengths late in 2018 to build out that capacity rather than to have a reliance fully on agencies. The mix is about 50:50 between technology, skills and go-to-market sales resources. From a technology perspective the type of profiles we are looking at, following the two categories of data science and machine learning, skills that relate to bot automations and integrations and then just an overarching strategy of building more vertical use cases for our platform. From a go-to-market perspective, this, as I mentioned in my remarks is heavily emphasized to quota-carrying reps, think of enterprise software reps if you will. Demand generation teams, I call them SDR is here, they are creating the top of the funnel and then progressing it to hand off to the sales reps and then channel partner managers. Channel has been a really nice growing part of our business as we mentioned. It accounted for 30% increase year-over-year into sales and with the third of our ACV. So that’s how I characterize the investments. I hold off on particular profiles as they get part of the competitive advantage.
Richard Baldry: And a follow-up for that, there is a lot of focus on international, so how do you feel about sort of the rest of the infrastructure you have in place to support those new hires since sales and internationally? Thanks.
Chris Greiner: Yes, internationally, let’s take it in two different parts, because EMEA is at a different level of its maturity than APAC, which Rob mentioned is really having some very nice wins and rapidly growing. The enterprise team has had for a while now very strong management continuity. They have a very strong infrastructure that wraps around the go-to-market whether it’s legal, pricing, human resources support. We are building that out more in APAC. So, the infrastructure that we need to develop is less focused on EMEA. They have it already. It’s more focused on Asia, where we are building out those type of call it G&A support services teams.
Richard Baldry: Thanks.
Operator: And our next question is from the line of Ryan McDonald from Needham & Company.
Ryan McDonald: Good afternoon, Chris and Rob. Just first on the U.S. market, was impressed by the strength in the quarter reaccelerating now up to I think you said 11% year-over-year growth, can you talk about what the driving mix of that was between enterprise and sort of mid-market/SMB. And then as you are looking at the investments moving forward, were you waiting those U.S. investments whether it be on the enterprise or the mid-market there?
Robert LoCascio: Yes, Ryan. Thanks. Earlier in the year, we had mentioned that we were going to make North America and even heavier focus of ours and that was back when total North America was growing at 4%. So as you highlighted, the acceleration to 11% was very encouraging for us. Within that 11% as I highlighted, North America enterprise grew 17%, that was an acceleration even over the last quarter, which was in the mid-teens. We did see declines in the SMB space, but again that was not up to this last quarter – fourth quarter, an area of focus of ours, but what I would highlight is if you looked at the bookings performance, not just globally, but really equally driven across North America and internationally, they had record bookings – and it wasn’t just two or three homerun deals. It was very consistent, the linearity was consistent across each month of the quarter and we are really pleased with the momentum that, that team is building. They have worked hard for it and they are pretty excited right now on the field, so very happy with North America’s turnaround. Obviously, enterprise growing at 17% percentage is great. International enterprise grew 30%. So we still think there is room to run there, but we are excited about what we continue to bring – or what we can bring to the mid-market SMB group as well.
Chris Greiner: Yes, I think on international, we are only in a small footprint of markets obviously, Europe and Asia are now looking at South America, even in Asia we are obviously heavy in Australia, Japan and Singapore, but when we think of places like even Indonesia where they are heavy messaging 200, 300 million people, businesses they are already transacting through these messaging platforms, but they need something to make it truly business enabled. I start with WhatsApp who is dominant in all these markets. I think, for us, we have to really scratch the surface, I think, this year will take a bigger bite at the other markets, especially in South America, Brazil, Mexico, heavy WhatsApp users there. So that’s following these them in the main technology messaging platforms then and working on scaling those different regions. So.
Ryan MacDonald: Thanks. And then just a quick follow-up in terms of a technology. Obviously, Maven was released into early access, and I think, is going to be reaching general availability earlier this year as customers are evaluating sort of the new functionality and capabilities around the messaging channels, is there more of a drive to push maven to help manage multiple channels within messaging? And as can that be a growth driver as we’re looking at ‘19? Or maybe that’s more of 2020? Thanks.
Robert LoCascio: Yes, the big part about automation is what we’re seeing is that even if I go back 24 months ago, we were very we were very focused on the shift of voice to messaging. And we’ve achieved some great results there. And we have customers that move 30% to 40% of their voice volume out. So, first time the technology has been able to do that. When you get to those levels, you got to have automation. And so, it’s necessary to have that type of platform and that’s the Maven really helps with. As we mentioned about 50% of our interactions right on the platform all automated, Maven just gives a set of tools to enable that at a certain scale. And the other part is we have a built in our own platform as we call it assist, where it helps guide the agents in building blocks, it helps guide the agents on live interactions. We see albeit a mobile world Congress next week, where releasing Maven for telcos there that they can put inside of their messaging android devices, a concierge of helper, and is powered by Maven. And so, we’re using it in many different ways of our technology, not just as a front end for bot building, but it’s assisted, and it’s also we’re using it for things like we’re building our own bots to do scale within the telco vertical.
Ryan MacDonald: Got it. Thanks.
Operator: And our next question is from the line of Jeff Van Rhee from Craig-Hallum.
Jeff Van Rhee: Hi great. Thank you. Several for me, guys. So, I guess, let’s see, where to start. So, the $150 million of bookings that you referenced, just to be clear, is that total contract value? Or is that $150 million in ARR?
Chris Greiner: Total contract value to the...
Jeff Van Rhee: Okay. Can you just give a sense of just durations as like, I know, you’ve been getting longer and longer contracts but and at the same time, I know you point not to necessarily look to closely it differs, but what’s going on with durations?
Chris Greiner: In general, they’re getting longer, but I wouldn’t be able to give you a precise number.
Jeff Van Rhee: Okay. Can you talk for a certain of the accelerator packs, just what is a typical deploy look like there? I know, you’re going for speed to get started and demonstrate the used case split. But kind of, what does that mean in terms of an official ARR is to be signing? And then follow on time to revenue? Just what are those look like a little more there would be helpful.
Chris Greiner: Sure. So, let’s kind of go through duration first, think 3 to 9 months in nature. In terms of price point, you’re in the low 6 figures, kind of revenues you signed the contract and along the implementation takes, call it 3 to 6 weeks. And then the scope is usually dependent upon the customer, like, we leave it open ended, we offer the platform, that customer may choose 2 or 3 endpoints or all of them. And we’re accommodating any scenario. We make it to where we begin to measure, we go in with the sales as a quantifiable ROI and then we measure it throughout the period. And it’s that measurement toward the period and continuing to put the ROI in front of the customer that allows us to preterm, go and make it a bigger engagement. That is the model. That’s the go-to-market model.
Robert LoCascio: And lot of them are not human-based. We’re doing a fair amount at our there just automation bot-based basically [indiscernible]. So, they’re not even using human agents. They’re using it as AI capabilities, and it does a lot of activity there.
Jeff Van Rhee: Got it. And then on the sales capacity side, I mean, obviously, you’ve been messaging that you are kind of tapped there and your activities levels are superhigh. Just talk to me about the thought process on 2/3 of the incremental spend going international versus domestic. Is there something about the international TAM that’s more addressable, more appealing? If you’re tapped out everywhere, I would’ve thought maybe a little more balanced domestic, international, or just talk a thought process there.
Robert LoCascio: Yes, fair point. I wouldn’t go there to the TAM. I understand why you think that, but it was more a reflection of where we did our testing and learning on the initial deployments that where we’re putting demand generation teams, for example, it was in North America first. So, we tested and learned in North America and a lot of these sales expanding sales reps, expanding sales generation teams and adding channel partner managers. So, we don’t have to do as much now. We’re still adding to that list, but we already had a head start whereas internationally we did not do that.
Jeff Van Rhee: Got it. And, Rob, it several quarters go, I know, you signed some really sizeable deals, but you’re looking at the yearly used cases and just look, it’s a matter of time until we sign a $100 million contract just based on the value, we’re bringing to these call centers. What are you thinking in there now?
Robert LoCascio: I had been in meetings where I’ve put it out. So, I mean, it’s we’ve talked it about it’s there. It’s going to happen, it’s probably we’re getting to place now where looking at 20 banks, obviously with the level of health care organizations. So, I feel like we’re we put it out, but it means where I talk to it large decision-maker self. I feel like there is a hunt going on. And I’d like to see that we in 2019, that we do something in that area. So.
Jeff Van Rhee: Got it. If I could just 1 last quick one for you. You gave us thank you so much by the way for the incremental just a sense of how the year plays. How the leverage plays. How the stand plays. You gave a little teaser on obviously, the out year 20 in terms of 20% top line growth. But it looks like from the spending profile, you’re going to reach a peak on the spend in Q2, Q3 ‘19. So, to the degree you’re willing, just give us any sense of what the incremental EBITDA margins look like, even [indiscernible] How far can you write that? Where does that get you because it sure looks like the incremental is going to be really good in ‘20.
Robert LoCascio: Jeff, you broke up a bit. So, I’m going to do my best to rephrase what I think, you’re asking and [indiscernible] up, I didn’t get it right. You’re asking and you’re correct, with the front-end loading of our investments because we want to emphasize that productivity and contribution for those return TAM as much as ‘19 can that then creates a leverage environment of our business in the second half, right? As that revenue then ramps and as that spend begins to flatten out, that should create leverage. What we talked about was that we see double-digit margins in the second half of the year, not ready to go into detail in 2020. We will on May 8th, but we’ll say that we will have margin expansion in 2020.
Jeff Van Rhee: Got it thanks.
Operator: And our next question is coming from Mike Latimore from Northland Capital Markets.
Mike Latimore: Thanks yes great results outlook on the did you say you expect the SMB segment to start growing again? Or is it already started growing?
Robert LoCascio: It will start growing again. It was a really nice growth this year.
Mike Latimore: And what’s the main driver there? I mean you touched on a little bit, but just clarify?
Chris Greiner: Focus.
Robert LoCascio: Yes. We went out of the gate, 2 years, 24 months ago with when you lead half to go out on the Enterprise and those T mobile’s and companies like that. And it just was we focused down on need of that. And then now that that’s going, we know there are a lot of companies in the world that want to take part in this. And so, we then started to briefly open up funding like midyear, and then we saw a strong Q4 on the bookings side, better than they have ever had. And then, they continue to do that, their ramping, their sales teams and their STR teams, and their marketing. And so, they are very excited about what they’re seeing. So, we’re just, no that was damping down growth rates overall, we just separate the Enterprise [indiscernible] over 20%, which I always talk about. So, we’re right now, that’s moving in a very, very positive and strong direction.
Mike Latimore: Great. And how about any color on the auto vertical? How that’s trending?
Chris Greiner: Yes, it’s good now. We did an acquisition of the [indiscernible]. I think that has really helped our vertical. We now have end to end through messaging [indiscernible], and you can get your car serviced. And it just opens up a whole another area of addressable markets and also resellers. We made a LivePerson auto. So, it’s got a new brand on it. But we have very good leadership over there too. But I think, it’s also going to be growing at a nice rate, and obviously, using stuff that we’re doing on the AI side. And with Maven, they’re, also, incorporating that. So, they’re doing a lot of activity over there.
Mike Latimore: And just a clarification on one comment you made. You said I think, you said to somebody by having record signings in the quarter? Is that refer to number of accounts they signed? Or that is referred to like the ACV of bookings?
Robert LoCascio: You can apply to both.
Chris Greiner: Both.
Robert LoCascio: The number of deals, yes. The number of deals was very strong, especially in the new customers that we’re bringing in platform, but that also translated to ACV.
Chris Greiner: Yes. If you look at Q4 of last year last year of ‘17 year, a big quarter but it was really driven by 1 or 2 big, big customers. Very interesting now, it was not a big customer one. Not one big customer and it was just a healthy, like we didn’t have to worry about who’s coming in, who’s flipping, whatever. We had a nice just overall good Enterprise customers than even on the commercial side. So, it feels good. That’s why when you see that, we now have the pipelines grow like they have over the year. We want them down now to accelerate that.
Mike Latimore: Yes, that’s a great sign great thank you.
Chris Greiner: Thanks a lot Mike.
Operator: And our next question is from the line of Zach Cummings from B. Riley.
Unidentified Analyst: [Indiscernible] on for Zach. Thanks for taking my question here. I know you guys mentioned the accelerated pace of investments for the sales team. Can you maybe give us some incremental color on may be some product development and investments that you peak to make up for fiscal ‘19 and ‘20?
Robert LoCascio: Yes, I mean, the when you look at how we’re investing today, we’re investing in really 3 major areas. One area is end point. So, we keep building out all the endpoints over the next WhatsApp, we have not We Chat that’s going live. We have Line in Asia. We have obviously WhatsApp, but also those platforms get better and better each month. So, they’re adding more features like payments and stuff like that. They’re these items have a long way to go. If I look at my visions they like where how we should be doing Conversational Commerce. They’re building things in so we have to develop against those. The second part is used cases. So, we’re developing around predominantly [indiscernible] has been in the care, where all the voice calls are. But now we are fanning out into sales and marketing. And so, as I mentioned in my remarks, we did a deal on outbound. So, like you can upon markets through messaging, using our platforms, and that’s really a marketing event. So that’s more used cases. Then the third driver is automation and human conversations on the platform. So how do we make deals, especially the automation ones richer. How do we make sure that these automations that we’re doing, they can complete up full and automation in the high ‘90s? That’s kind of our confidence intervals up in the ‘90s. We’ve got a good bot in the market. So, these are kind of the three areas that we’re constantly investing in with the platform.
Unidentified Analyst: Great. Thanks for that. Another kind of follow-up, can you maybe talk about the pipeline generation from the T-Mobile customer event in the fourth quarter? Maybe, what’s the expected conversion rate on opportunities from an event like that?
Robert LoCascio: So, I won’t give you a specific number, but they’re very, very high because there are rates in those. And anyone who is there, it was an amazing event. They just basically showed the power of the platform and their operating model, which is expert so. They are presenting we also owe and about 10 other customers do presentations, and we caught first. I think, it’s really important we, kind of, branded first. It’s like all these customers want to be the first of something. There is this Telco in Europe, that was the first to scale WhatsApp at this huge rate, and move voice calls for WhatsApp. There’s T-Mobile, the first to go live ever on messaging and really scale and go with operating model. Aramark, the first that have in stadium ordering through messaging, bots and AI, and go on and so, this is really what we see. There are presenting and they’re very proud of it. So that’s a very exciting thing. And I think that drives a lot of adoption because everyone else wants to be first of something else and they want to get there quickly. So, we see very good results. That’s why we are investing heavily on the marketing events like that throughout 2019.
Chris Greiner: I just add what we did say in our last call was that from [indiscernible] all the way up to T-Mobile, there is no reason to believe T-Mobile being different is that when we have our customers at the summit, we convert them over 40% of the time. And if you think about those summits, you can almost pack 3 to 4 months of a sales cycle into 2 days, right? You have got hands-on tech demos. You have got customers securely being referenced. You have got used cases – different used cases being illustrated. You have got transformation journey workshops there, so keep access to key decision-makers so that they continue to be a very important, not just creation of opportunities engine for us, but progressor of opportunities as well.
Unidentified Analyst: Thank you for that. That’s helpful.
Operator: And our next question is from the line of Mark Schappel from Benchmark.
Mark Schappel: Hi, guys. How are you doing? Nice job on the quarter and the year. Just a couple of questions here, most of my questions have been answered, but I do have few. Chris, the company had some success in the past year ramping up the channel business. And I was just wondering as you plan to continue to build up that organization, how is that going to change in the coming year or is it going to change? Are you just trying to sign up as many partners as you can right now or is there a focus on just kind of consolidating, which have?
Chris Greiner: Yes. Thanks for the question. Good to speak with you. It depends on where you are in our different go-to-market spectrum. If you are in – if we are sparking specific to the small, medium business there, we are rapidly expanding the number of customers. So that is a volume gain and the old lady 20 rule would apply. If you go up the stack to mid-market and enterprise, it’s up of course you want to expand into new partnerships, but it’s how do we continue to leverage the terrific pipelines that are being created by the likes of IBM, Accenture and others and just start converting them. So, it really depends on which end of the go-to-market spectrum you are on?
Mark Schappel: Okay, great. Thank you. And then Rob we are starting to hear other contact center focus for vendors start to talk about messaging and then Conversational Commerce and maybe you can just give us an idea some of the other competitors that you are seeing in the messaging space?
Robert LoCascio: Yes. I think obviously as we removed voice calls from those large voice platforms, they are obviously going to try defending that. But I have said this before, they are just – they are kind of like evildoers in the world. They basically promote voice. They don’t want to cannibalize themselves. When they do things like messaging, it doesn’t work by the way and they do it at small little thing and they are sure it doesn’t work so they can get more voice behind and say this is just a toy. So, those are the guys right now that we have a target on to get rid of and we have good referenceable customers. We know consumers don’t want to pickup the phone and dial and being put on hold. As we mentioned last time, T-Mobile removed their IVR now as of primary way to get to them they go straight to a human through messaging or voice even voice. So, those are the guys that you are right, they are going to try defending themselves, but are they willing to destroy themselves to grow. Even we took a hard pivot as you know because I don’t believe check against there and we even kind of took the hard medicine to get here. I don’t think they are willing to take the hard medicine.
Mark Schappel: Okay, great. Thank you.
Operator: And ladies and gentlemen, it seems we have reached the end of our call today. I would like to turn the call to Rob LoCascio for closing remarks.
Robert LoCascio: Thank you operator. So, 2018 was a year for the record books in so many ways and our key metrics, including ARPU, 11-year retention in new logo sign, messaging and AI adoption and total revenue hit new highs. Conversational Commerce is moving into the mainstream now. With next 24 months, we expect virtually every large brand to decide how they will participate in this. And LivePerson is making the right investments to accelerate momentum by capitalizing on its leadership position with these industry tailwinds. We expect our revenue growth rate to ramp towards 20% by year end in 2019 and to exceed it 20% in 2020 as we take a greater share of emerging multibillion dollar market opportunity. I have been obviously on the helm for a long time and I haven’t said, if we are at startup and just launched our platform 2 years ago and generated $150 million in contract value, you would be at pretty hard startup. So obviously, we have been around a while, but I think we are running, we need to run now as a hard start out. We need to attack the market and win it. And I think we are in a great position to do it. So thank you everyone for their support and we will see you guys on the Q1 call.
Operator: Ladies and gentlemen, we thank you for joining us for the LivePerson fourth quarter 2018 conference call. This does conclude the call and you may now disconnect.